Operator: Good morning ladies and gentlemen. My name is Sandra and I will be your conference facilitator today. At this time, I would like to welcome everyone to our Saifun First Quarter 2006 Earnings Conference Call. (Operator Instructions). Thank you; it is now my pleasure to turn the floor over to your host Mr. Todd Fromer. Sir, you may begin your conference.
Todd Fromer: Thank you operator. Good morning and good afternoon, this is Todd Fromer with KCSA Worldwide, Investor Relations Consultants of Saifun. At this point, you should have all received the first quarter 2006 earnings press release. If you have not received the release please refer to Saifun’s website at www.saifun.com. With me on the call today, are Dr. Boaz Eitan, Chairman and Chief Executive Officer, Kobi Rozengarten, President and Igal Shany, Chief Financial Officer. Before we begin, I would like to mention the following regarding forward-looking statements. During the course of this conference call, the company may make forward-looking statements regarding future events. We wish to caution you that such statements reflect only the company’s current expectations and that actual events or results may differ materially. You are kindly referred to the risks factors and cautionary language contained in the company’s annual report on Form 20-F filed on April 11, 2006 with the US Securities and Exchange Commission. The company undertakes no obligation to update any projections or forward-looking statements in the future. It is now my pleasure to turn the call over to Dr. Boaz Eitan, Chairman and Chief Executive Officer of Saifun. Boaz, The floor is yours.
Dr. Boaz Eitan: Thank you Todd. Good day everyone and welcome to our first quarter call. And before I turn the call over to Kobi and Igal, who’ll post the view of financials and highlights, I would like to share the following. The first quarter was a successful quarter from three perspectives. First of all, we met or exceed our financials goal. Second, we continue to make the Quad NROM, the 4-bit NROM, our main focus, both in development and new business opportunities. Our licensees with our help are moving closer to delivering 4-bit data products and third, our IP business model allows us to maximize profitability, we continue to have good revenue visibility and to manage our expenses properly. So, before Kobi elaborate on the developments of the first quarter, I would like to turn the call over to Igal, for review of the financial results. Please Igal, go ahead.
Igal Shany: Thank you Boaz. Turning to our financial highlights, let me first explain that the figures given here on a non-GAAP basis, the adjustments between the GAAP and the non-GAAP figures exclude $9.6 million in non-cash revenues resulting from determination of our joint, former joint venture with Infineon, which we recognize in the first quarter of ’05. If you recall, in the fourth quarter of ’05, we concluded recognizing this non-cash revenues. Non-GAAP figures also exclude stock-based compensation expenses as well as the loss from our discontinuous product proliferation that we also concluded recognizing last year. Revenues for the first quarter was, were $15.8 million an increase of 25% compared to $12.6 million in first quarter of ’05. Our revenues are made up of licensing and service revenues as follows. Licensing revenues for the first quarter was $10.5 million, an increase of 13% compared to $9.3 million in the first quarter of ’05. Licensing revenues represented 67% of our total revenues this quarter. The majority of our licensing revenues this quarter were derived from Infineon, Spansion and Matsushita. Service revenues for the first quarter continued to grow and were $5.3 million, an increase of 59% compared to $3.3 million in the first quarter of ’05. Service revenues represented 33% of our total revenues this quarter. This quarter our top three service customers were Infineon, SMIC and Spansion. Gross margin for the first quarter was 79%. Gross margin on our service revenues was 37%. When excluding service revenues for which cost of services was recorded in the previous quarters, our service margin this quarter was 32%. Operating expenses for the first quarter was $3.8 million or 24% of revenues which included 13% R&D and 11% SG&A. R&D together with cost of services in the first quarter was $5.4 million or 34% of revenues compared to $4 million or 32% in the first quarter of ’05. Operating income for the first quarter was $8.7 million or 55% of revenues compared to $6.6 million or 52% of revenues in the first quarter of ’05. The increase in operating income this quarter is the result of higher licensing revenues as well as increase in service revenues and service gross margin. Net income for the first quarter was $10.7 million or 68% of revenues compared to $6.8 million or 54% of revenues in the first quarter of ’05. Our non-GAAP EPS for the first quarter was $0.33 per diluted share. Stock-based compensation for the first quarter which is included in the GAAP information was $1 billion. Additionally, we have recorded an income of $0.4 million due to the adoption of SFAS 123R and the inclusion of estimates for the future rates for compensation cost we would be recorded. Total shares outstanding at the end of first quarter were 29.7 million shares. This amount does not include shares issued in our secondary offering that we completed in April and did not affect our first quarter results. Total shares outstanding following the completion of our second year offering was 30.5 million shares and the net received for the company in the secondary offering were 12.5 million. Finally, at the end of March ’06 cash and health and maturity marketable securities were $187 million. Now, I would like to turn it to Kobi, our President.
Kobi Rozengarten, President: Thank you Igal. This quarter, we continue to be our progress as well as, towards our short-term and long-term strategic goals. We met our licensed revenues target for the quarter as we increased the share of royalties as part of our total licensing revenue. This is in accordance with our plans, the way of, lead by the penetration of our NROM technology draws as our licensees, shipped more products into the market. As expected, this quarter we increased our service activity, this growth in service is mostly attributed to the development of Data and Quad NROM product for our licensees. Additionally, we delivered high density Quad NROM product designs to 2 more licensees. This now marked a total of 4 licensees with whom we are working to bring Quad NROM product to the market. We expect to see this product on the market by the end of this year. This will further enhance NROM penetration and we will translate into growing royalty in the coming years. Looking forward, we believe that the Data flash market offers a significant opportunity for Saifun. This market is being driven by high density local storage application. Our Quad bit NROM made product with unique ability to store 4-bit processor provide a significant advantage and we believe it will allow our Data flash licensees like Infineon, Spansion and SMIC to become a significant player in this market. Regarding, technology trend, we are seeing more and more flash meters, we are making the ability to scale down their floating-gate based technology below 50 nanometers. This positioned our NROM technology a significant advantage. As we believe we have the unique ability to scale the NROM, a traffic technology below 50 nanometers. In short, we met our objectives. For the second quarter, we expect total revenue to be in the range of $16.4 million to $17 million and we expect to maintain our goal of higher than 50% of operating profit. That excludes stock-based compensation expenses. Thank you everyone, and I would now like to open the call for your question. Operator?
Operator: Thank you, (Operator instructions). Your first question is coming from Tim Luke of Lehman Brothers.
Tim Luke - Lehman Brothers: Thanks very much, nice quarter. I was wondering with respect to the Quad development whether you’d might been able to outline what you see is some of the major milestones as you move towards, potentially saying some of the products ramp at the end of this year. And what sort of revenue impact that may begin to have next year? And secondly, I was also wondering with, it looks like your R&D, was just came in slightly lower than one might have expected and if you could just give us some color of how we should think about that going forward? And then lastly it’s just pending for Igal when you look at the second quarter revenue guidance, how you think that will divide between licensing and services? Thank you very much.
Kobi Rozengarten: Hi Tim.
Tim Luke - Lehman Brothers: Hi, you guys.
Kobi Rozengarten: Hi it’s Kobi. Let me answer your question as to the Quad development, Igal will answer the other part of the question.
Tim Luke - Lehman Brothers: Thank you.
Kobi Rozengarten: As for the Quad, as there are licensees indicated, they are developing product on 70 nanometers for example, Infineon and ours, within a 12 month; they will come with the 70 nanometer product. So, we see activity on Quad on 90 and 70 nanometer and we believe that Quad product will be in the market by the end of this year and early 2007.
Tim Luke - Lehman Brothers: Could you have been able to share of the four people that you are developing that with, who that is, or beyond Infineon, obviously Spansion?
Kobi Rozengarten: We don’t provide this information, while I think that Spansion mentioned that they are doing 4-bit activity and Micronix said, discussed their 4-bit activity and they are believed that we have seen SMIC mentioning their 4-bit.
Tim Luke - Lehman Brothers: Okay.
Igal Shany: Lets take it from here this is Igal, hi Tim, just in terms of what’s the impact of the 4-bit financially as you ask. And so obviously this year as Kobi indicated, we’ve reduced service activity for licensees. This is the impact for ‘06. In ’07, you should be expecting the Quad to hit the markets and therefore we will hit that in the royalty side as well. It should be passed of the Quad activity on the financial statements. And to the R&D expenses that you have asked, first let me go back the way we are looking that R&D expense is combining this line together with the cost of services. When you combine these two lines it comes up with a higher number R&D effort. Going forward, the way we’d see R&D basically that last year, we have added almost 30% in R&D expert headcount to our staff. We do expect R&D personnel to increase but not at the same level as the increase of ’05 compared to ’04. Therefore R&D expenses could go up but in a more moderate level this year. As to the revenue guidance and where the growth is coming from, so I think that’s why we are not breaking up the revenue between licensees and service revenues. We should see growth both in service and licensing revenue.
Tim Luke - Lehman Brothers: And do you have a common with respect to your backlog for bookings numbers at the end of the first quarter?
Igal Shany: Backlog is provided on an annual basis. We just recently filed our 20-F. The backlog is comprised of contractual commitments that are not appearing on the balance sheet, plus the deferred revenue line that appears on the balance sheet. While we are not giving this number that has not be in a significant change in our backlog in this quarter.
Tim Luke - Lehman Brothers: Thank you.
Operator: Thank you. Your next question Daniel Gelbtuch of CIBC
Daniel Gelbtuch - CIBC: Hey I was just wondering, we have seen that Samsung has had some well publicized issues with their efforts of floating-gate and MLC. Are there, who would you say is potentially in the pipeline for additional licensing on the, for the NROM?
Igal Shany: Boaz, would you cover that?
Dr. Boaz Eitan: Okay. I think that, we are reiterating two facts. One is, we are seeing almost all the players, all the existing players which are not NROM player, having research a work on the NROM technology they probably see then we also see some curtain sliding. So one, we are fully aware that the entire community is watching the technology. Number two, we have given you a clear indication that our expectation is to add one at least, one licensee per year and in the, all of our recent announcement we always have reconfirmed that’s our intension and we always tell you that we are currently engaged in discussing a potential licenses with more than a one potential new licensee. So, this is all fill through and beyond that we have told you that we would have wished that we’d knew that exact phase they will come in, but we are not that good.
Daniel Gelbtuch - CIBC: All right thank you very much, I appreciate it.
Operator: Thank you, your next question is coming from Jeff Rosenberg of William Blair.
Igal Shany: Hi Jeff.
Jeff Rosenberg - William Blair: Hi, how are you good morning.
Igal Shany: Good morning
Jeff Rosenberg - William Blair: I guess that the first question is, are you able to break out, who your 10% customers were in their revenue levels in the quarter?
Kobi Rozengarten: We are not providing it on a quarterly basis, but I can tell you that the Spansion and Infineon continues to be a significant customers for us.
Jeff Rosenberg - William Blair: Okay, and then second of all, when you look at you talk about that the Code market in relation to you 4-bit efforts, what’s your expectation for the impact of Code products coming out that would, excuse me Data, I meant to say Data and 4-bit and what’s your expectations for companies coming out with the traditional 2-bit per cell in the data market? Hello?
Kobi Rozengarten: I am not sure I got your question.
Jeff Rosenberg - William Blair: I think some of your licensees are working on introducing Data product before they have Quad bit technology and first and so what’s the status of that in terms of entering the market with Data product that’s before they actually have to Quad bit?
Kobi Rozengarten: So first of all this is absolutely correct, there are Data products in the market, 2-bit Data products, they are currently the most advanced one is the 1 Gigabit. And, I believe that SMIC has said that they will sample their 2-bit this summer and they will be in full volume production by the end of this year, it is also a 2-bit product. So I also would like to add to it, if you recall that actually each one of the 4-bit product, can be operated as a 2-bit product and it may come at different density. So these are some of the 2-bit development that we are seeing this year.
Jeff Rosenberg - William Blair: Okay and then, when we look at the license royalty breakdown, can you talk about which of your customers are royalty paying today and is primarily the growth that we expect in that license royalty line coming from, only from additional royalty ramp or in, other than a new licensee, is there any increase that you would expect in license revenue in upcoming quarters?
Igal Shany: This is Igal, Jeff, as Kobi indicated; we see already an increase in royalty revenues this quarter. So, we are making our way towards our targets after having significant part of our revenues coming from royalty revenues. So that indication, in terms of who is in production, so 5 of our licensees are introduction of NROM based products. So inside, SIMC and Sony that they are still in development all other licensees of Saifun are selling products in the markets.
Jeff Rosenberg - William Blair: And are there any other license agreements from any of our existing licensees that will be kicking and to add to that line item or is all of the growth that we are expecting, in absence of new licensee signing coming from this ramp in royalties?
Kobi Rozengarten: You know Jeff, last quarter we’ve announced the Matsushita addition to the license. So primarily our focus always has been adding new licensees that you guys have asked about and adding more business from connecting from existing licensees and we are proving that we’d mentioned this in the past. So clearly, always our focus is not only on new licensees but also getting more business and more added values for the existing licensees.
Jeff Rosenberg - William Blair: Okay, thank you.
Operator: Thank you. Your next question is coming from Daniel Amir of W.R. Hambrecht.
Igal Shany: Hi Daniel
Daniel Amir - W.R. Hambrecht: Hi thanks a lot, thank you. I have a couple of questions, I mean with related to, the Quad NROM that, that you are developing or that your licensees are using. How does that compare a bit on the road map that you are seeing right now again in general, in the industry, as a major that the Samsung, Toshiba and SanDisk, I mean how does that compare from where you think Quad NROM could be with Infineon or Spansion in the year from now compare to where gain could be in the year from now?
Kobi Rozengarten: Hi Daniel, it’s Kobi as you know we started the Data after developing our technology on Code. So we started the Data later what we are seeing is that we are closing the gap compared to the floating-gate in various spot. We believe that the by 2007 you’ll see a very advanced product base on a 4-bit that will very will be competitive to the floating-gate product at the same time.
Daniel Amir - W.R. Hambrecht: Okay and with related to SMIC, could you comment where do you think, SMIC roadmap will be, lets say in the back half of ’07?
Kobi Rozengarten: We are very excited with our activity with SMIC, we are involved in a joint activity there in development, however I can just refer to do what they announce, so they announced say, there are 90 nanometer activity, they announced a very high yield of initial result of 90 nanometer. They publish 2 Gigabit product based on the 2-bit and they also discussed a Quad activity. So that’s the only activity that I can comment on.
Daniel Amir - W.R. Hambrecht: Okay, and the last question is, can you comment a bit on, the IP that you have related to, controller technology and whether your, whether you are planning to do anything with that, I mean for Saifun historically had IP’s or has IP related to that, to that as well.
Kobi Rozengarten: Boaz?
Dr. Boaz Eitan: Yes, so I would like to make it very clear, there is no per se controller IP that we have. We always planned and we are still investing in what we call the interface IP between the controller and the NROM and we explained it to make the time to market for all licensees faster and to improve the performance of the NROM in the, inside the card. So we, I am sure that you will see this year that we are engaged in several of, with several of the a controller manufacture, in where we leaded a combined effort and they will supply as we always, say the microcontroller; we will supply the special IP to interface with the NROM to improve performance and this is the purpose of our IP effort for the controller market.
Daniel Amir - W.R. Hambrecht: Okay thanks a lot.
Kobi Rozengarten: Thank you, Daniel.
Operator: Thank you, your next question is coming from Ashok Kumar of Raymond James
Ashok Kumar - Raymond James:
Kobi Rozengarten: Hi Ashok.
Ashok Kumar - Raymond James: Hello thank you and nice quarter. Couple of questions first is did, if I hear you, Kobi correctly, did Matsushita replace the Micronix, as a top three customer and is there usage model currently just targeting nor or they using it for data application as well? And the second question is, do you trying to split between licensing and royalty and the last question is you guys did mention on the 4-bit, just reading you correctly, we’ve been expect contribution from that by early ’07 on the revenue side? Thank you.
Kobi Rozengarten: So well, I’ve not indicated that Matsushita has become the top three customer, as you say that our, the Spansion and Infineon continues to be a significant contributor to our revenue, that’s the one. And to Matsushita, as you know, they have licensed our technology for SAP which is the some kind of perversion of the Code Flash, this is their activity, they do not have activity on Data Flash. As to the split between licensees and royalties, we are not providing this at the moment, we may consider at doing it in future, but we do see a transition at this year of having more, more royalties coming forward and one can see it as they ship more products based on our technology. As to the last comment on ’07, yes, we do expect our licensees to ship products based on a 4-bit per cell to the market in ’07 that eventually would translate royalties on our side.
Ashok Kumar - Raymond James: Thank you very much.
Operator: Thank you your next question is coming from Pranay Laharia of Deutsche Bank.
Kobi Rozengarten: Hi Pranay.
Pranay Laharia - Deutsche Bank: Hi. How are you guys?
Kobi Rozengarten: Good.
Igal Shany: Good morning.
Pranay Laharia - Deutsche Bank: Good morning. Boaz, I have a question for you. You said your target is at least one licensee per year, if I am not mistaken you’ve already announced one licensee for this year, so shall we expect to see another announcement or can you; do you have a comment on that?
Dr. Boaz Eitan: I guess that, we say that we are expecting one new licensee per year and if, if you refer to the, the EMEA, a new license which we allow, but we do not consider it as the new license.
Pranay Laharia - Deutsche Bank: Okay fair enough. Igal a question for you, what was the headcount at the end of first quarter and you said there will be a moderate increase in headcount through the year do you, do you have a target or what you wanted to be by the end of 4Q?
Igal Shany: The headcounts are, we have increased slightly the headcounts for us this quarter, we came closer to 250 and the increase was primarily in the R&D SAP. And what was your other question, sorry?
Pranay Laharia - Deutsche Bank: Do you have a target where you want the headcount to be by the end of the year?
Igal Shany: As I said previously we do not expect the same increase in headcount this year, this is very much the same that we had last year and which we have added more than 14 employees just with the R&D staff. So, our increase in headcount will be more moderate this year.
Pranay Laharia - Deutsche Bank: Okay. And Igal another question, in second half of ’05 you had been working on a customer project for which you had not recognized revenue that the time. Have you now fully recognize those revenues or are there still some left to go?
Igal Shany: There are some left and this is, going back to my comments when on the conference call, when we excluded this line item from the revenues and the cost services, our gross margin this quarter was 32% and, yes, so that’s the affect of this quarter and yes, there is some additional revenues that we expect to see in the next few quarters.
Pranay Laharia - Deutsche Bank: Can you quantify how much of cumulative cost relates to that revenue at this point?
Igal Shany: We cannot do that.
Pranay Laharia - Deutsche Bank: Okay. Are you willing to share your, geographic breakdown for the quarter? Geographic breakdown for the quarter?
Kobi Rozengarten: Geographic is not this, I continue to say that this quarter very much like last year Infineon and Spansion could be, continuing if not geographic by name, continue to be our significant customers.
Pranay Laharia - Deutsche Bank: And this is the last question. Have you started recognizing license revenue from the recent add-on license with Matsushita and, if not when do you expect that to take down?
Kobi Rozengarten: As we sign the agreement last quarter any effect over due was impacting this quarter, yeah.
Pranay Laharia - Deutsche Bank: Okay thank you very much.
Operator: Thank you. (Operator instruction). Your next question is coming from (indiscernible) of Hapoalim.
Unidentified Analyst - Hapoalim: Hi how are you? Good quarter. I have few questions here; let me start with some of the housekeeping items. Can you give us an idea what the, what a good number do you use for interest income and also for tax rate going forward and I have 2 follow up questions after that.
Kobi Rozengarten: Well let me start interest, so we are testing our font in money in cash and health in maturity securities, mainly bonds, high grade bonds and you can look at the, the kind of fields that are out there we are not taking significant risk there. So today, in today’s market, 4.5% to 5% is the distinct number to take. As to the past, if you know, it’s an Israeli company; we have an approved enterprise status in which we are not taxed on operation after recognizing all these carry forward losses that we have. We expect at least for the next 2 years not to pay tax on operation because of this approved enterprise status however, we could be taxed on our finance income and this could probably even in the next quarter. The finance income only no tax on operation could come next quarter would be taxed approximately 25% on finance income only.
Unidentified Analyst - Hapoalim: Okay, thank you very much and I have 2 other questions on the technology side. Number one is that, if you look at your technology on the paper, vis-à-vis the competitive technology that multilevel Cell technology, it looks like below 50 nanometers, that the NROM technology is compelling, it has got compelling advantages. So if you take that one step further, that it looks like the companies which are using the MLC technology namely SanDisk, Toshiba and Intel, SanDisk Toshiba for NAND in Intel for NOR. Would have to, sometime in the future have to license the NROM technology. In this scenario, is there any other potential outcome in the centre is the we had a third technology out there, which would solve the MLC problem, how, can you give us an idea in absence of them, all of them being an licensee for Saifun which would be the most ideal situation, could there be any other scenario unfolding here?
Kobi Rozengarten: Boaz?
Dr. Boaz Eitan: Yes, so first of all, we always like to mention that from a storage point of view the NROM technology is the first to volume production in the last 35 years. This is to say that not every 2 years there is a new technology, so now we can refer to what you call the emerging technologies and we know what that the names of those technologies because people are working on them, on some of them the last 40 years, on some of them in the last 8 years, on some of them the last 6 to 7 years. All of these technologies and I will name them for you. The SDRAM, the NROM, phase-change technology and the Nanocrystal technology are all technologies that we are very familiar with and we are following through the conferences and through some private discussions and all of them are heavily in their research phase and all of them to the last has no 2-bit and actually most of them have 2 element there would be, which means like a resistor and a transistor for 1-bit, a capacitor and a transistor for 1-bit. So assume that they will resolve all of their technical problems, they still will be at a great disadvantage relative to our technology. So, I am very confident to telling you that they are no new emerging technologies that are of real threat to what we are doing. However, to really give you a full answer our, from our point of view that we get threat is if we get, if we don’t execute on our promises and the biggest technology threat that the floating-gate devices the people of there have done a tremendous job. And we know how tough it is, but in my opinion that their continuous effort is the biggest threat and not a new emerging technology.
Unidentified Analyst - Hapoalim: I believe that answers the question pretty well, I appreciate that. Final question is that, I know this question has been answered, different way in the conference call. I just want a clarification, either anyway you can tell us that either this year or next year on a rough estimate, what percentage of your licensing revenue lack of, better definition could come from Data Flash application as suppose to Code Flash application?
Kobi Rozengarten: We rather look at it from the licensee’s perspective. Currently, we have two specific licensees that focused only Data Flash this is Infineon and SMIC. So any revenues that will come from these 2 licensees would be considered Data Flash, if you look at our Spansion, obviously Spansion is highly focused on Code Flash, but are making their way with our hard and 2-bit technology to the Data Flash as well. So revenues that would come from Spansion, primarily, at least next year would come from the Code Flash because this is their main market. However, more and more business would come also from Data Flash market as they ship more products based on our technology to that market as well.
Unidentified Analyst - Hapoalim: All right, thank you very much gentlemen again good quarter.
Kobi Rozengarten: Okay thank you.
Igal Shany: Thank you.
Operator: Thank you your next question is a follow up coming from Tim Luke of Lehman Brothers.
Kobi Rozengarten: Hi Tim.
Tim Luke - Lehman Brothers: Hi Kobi, I was just wondering whether you could give us a framework for how you see the mix developing going forward, between data and code for you and maybe by the end of this yearend, maybe by the end of next year in terms of, mix might follow up, thanks.
Kobi Rozengarten: Again I would like to take it by the licensees and Infineon has been a significant customer for us last year and I said that they have been won this quarter as well. So, and this is coming from data flash, Spansion is becoming more and more significant licensee to us in terms of revenues, primarily, it’s still coming from the code flash, but there is a mention, starting ’07 as the shift some products to the data flash markets, so some part of the revenues would come from that as well. SMIC, any revenues that we will be recognizing from SMIC should be computed to data flash revenues and that’s the great going. Just to add to that, on the embedded side, we have Sony and Panasonic, so any revenue that would come from there primarily would come from the embedded side and the late addition the Matsushita agreement. Any revenues that would come from there should contribute as code flash. So, sort of, we have a mix divided by the licensees and you should look at it this way.
Tim Luke - Lehman Brothers: Thank you.
Operator: Thank you. There appears to be no further questions. This concludes the call, thank you for your participation; you may now disconnect your lines.